Operator: Good morning ladies and gentlemen and welcome to the First Quarter 2013 Conference Call. Today’s call will be hosted by Mr. Brian Hedges, President and Chief Executive Officer; Ms. Marion Britton, Executive Vice President and Chief Financial Officer; and Mr. John Reid, Executive Vice President and Chief Operating Officer of Russel Metals Inc. Today’s presentation will be followed by a question-and-answer period (Operator Instructions) I would now like to turn the meeting over to Ms. Marion Britton. Please go ahead.
Marion E. Britton: Good morning, everyone. I’m going to start by reading our standard cautionary statement page 3 of the conference package. Statements contained in this press release are on the related conference call that relate to Russel Metals’ beliefs or expectations as to certain future events are not statements of historical fact and are forward-looking statements. Russel Metals cautions readers that there are important factors, risks and uncertainties, including, but not limited to, economic competitive and governmental factors affecting Russel Metals’ operations, markets, products, services and prices that could cause its actual results, performance or achievements to be materially different than those forecasted or anticipated in such forward-looking statements. The forward-looking statements in this document reflect management's current beliefs and are based on information currently available to management. The material assumptions applied in making the forward-looking statements in this document or on the call include the following: demand from the manufacturing, resource and construction segments of the economy remains at current levels and these conditions will continue in the foreseeable future; oil and gas prices, the price of steel and the value of the Canadian dollar relative to the U.S. dollar will be similar to that experienced at the end of 2012 from the beginning and the first quarter of 2013. Although the forward-looking statements contained in this document are based upon what management believes to be reasonable estimates and assumptions, Russel Metals cannot ensure that actual results will not be materially different from those expressed or implied by these forward-looking statements and does not intend to update any forward-looking statements other than required by law. So if you want to flip to page 5, current market condition, our feeling is that the manufacturer economy has stalled, it’s consistent with the MSCI shipments being down 13% in Canada and 7% in the U.S. The Russel Metals service center, our own shipments were down 10% in the first quarter. Just to remind you that in the first quarter of 2012, our shipments were actually up 14%, so that was a strong up in the first part of 2012 we did end up the year, 6% up over 2011. We are down obviously over our 2012 at this point. Demand is down year-over-year and is the first time since 2009 that we’ve seen a year-over-year demand. It is also up in Q4 and the up in Q4 is 9%. Pricing is stable due to the lower levels; we don’t see it going down much lower. It is down 8% from Q1, 2012, but it’s consistent from the fourth quarter of 2012. Drilling activity in the first quarter was lower than it was last year. If you turn the page to Page 6, just some highlights of our numbers. We did EPS of $0.36 in the quarter, down significantly from the $0.55 reported in the first quarter. But if you were look back to last year we did report $0.34 in the last quarter and if you were to look throughout the year, the $0.55 was our best quarter last year. Free cash flow consistent with our EPS, we have strong consistent with our EPS but we had similar numbers, free cash flow for the first quarter was $0.42. The return on equity was 10% and our bank balance or our net cash at the end of the quarter was $113 million slightly up from where we were at the end of the year. Turning over to the next page just highlights there, we are giving comparisons to Q1 2012 in the last three years, but there is a chart, but it gives you all the metrics on our income statement and balance sheet for forecasting purposes. And turning to the next page to Page 8, one comment I would like to make is the restated – the restated is something that you are going to see consistently now that we use IFRS, almost all changes under IFRS you have to restate. So it’s not something what normally when you start restated, it was something that was a correction. Our restate it relates to the new pension standards, it was $0.2 million in the quarter, it will be about a $1 million for the year, so it’s not a huge number. The other item that I’d like to point out on this page is the employee expense and other operating expenses. The expenses are up from the first quarter of 2012. The increase is up in some of our other units, but the big increase is the addition of Apex and I’ll address that slightly more as we go into the next section. But I want to remind people that the expenses of Apex are higher than our normal energy units. The other item on here that I want to point out is the other finance expense at $1.6 million that does relate to the contingent consideration and I know we cover that off at the Q4 that basically is a discount of the expect to pay out of the earn-out for the Apex acquisition that is set up and is accreted like interest expense through other finance expense and there could be fair value adjustments as we go forward as traditional or less earn-out anticipated to be paid. So that line is in actual interest expense, it’s related to the contingent consideration. If you flip forward to page 13, second page of the MD&A, mentioned a couple of items there. You’ll note that metal service centers gross margin in the quarter were 20.9% or down from the first quarter of 2012, although we’re coming to a run rate, which we consider consistent with our stable pricing environment, 21% is around where we would expect it to be. This is up from the 20.2%, that was reported for the Q4 and it’s because of the more stable pricing in the first quarter compared to what we ended the 2012 year with. Secondly, the energy products number, you’ll notice that 15.3% is up from the 13.7% first quarter, it’s driven up by the higher gross margins within the Apex operations, so that we have a full-quarter with Apex in, so I’ll give you a little bit of an indication compared to the Q4, where we didn’t have the full-quarter. And just to highlight and this is in the text later. If we didn’t have Apex gain, our base operations margin was 11.4%. So the other operations came down from 13.7% to 11.4%. So we would anticipate our gross margin run rate closer to the 15.3% going forward with Apex. Looking forward to Page 16, at the top there, we give some comparisons of where the revenues were, where is the energy operations? Because with Apex, we obviously have a large increase in revenues, but we mentioned that for oil drilling – gas drilling activity was actually down 5% compared to the first quarter of 2012 and I mentioned earlier that drilling activity was down and it did impact us in our activity. The revenues for the total segment without Apex were similar to our fourth quarter levels and when we would anticipate a slight pick up in first quarter, which didn’t happen. And on that page, there is a comment about the operating expenses now running at 9% of revenue compared to 6.9% first quarter 2012, which is obviously the impact of Apex. So the one other item that I would turn to is on page 18. Capital expenditures first quarter was $7 million compared to $12 million first quarter last year. First quarter last year, we had a one time purchase of a piece of land, not expected to be repeated in this year. So the run rate that we’ve been giving for the year $28 million to $30 million is consistent with the $7 million in the first quarter of 2013. Those are my comments. Operator, I’m going to open it up to questions.
Operator: Thank you. (Operator Instructions) The first question is from Brett Levy with Jefferies & Co. Your line is now open. Please go ahead.
Brett Levy – Jefferies & Co.: Hey, Brian, Marion and John, can you guys talk a little bit about sort of what you guys are hearing about the XL pipeline approval and then also talk a little bit about the breakup season in terms of Western Canada?
Brian R. Hedges: The breakup season started pretty close to where it normally does, maybe in a week early. I think they think it’s going to be a relatively normal one versus the last couple of years, but what people are going to be doing when they come out of the breakup is not as clear and obviously there has been a rig count drop – coming in and whether it’s going to be that way coming out, I don’t think there is any clear direction right now. XL pipeline, I mean, you guys get more pressure on probably than we do up in Canada. But consensus right now is I think that it’s going to get past still, but I don’t – it sort of goes up and down with the day. I mean certainly the bigger discussion point more often now is there are alternative ways of getting the real moves. So people are looking constantly at training movements, the train sets, how you move at that way as well as – now they are looking at Canada and alternative pipelines going east, west, north they are looking almost everywhere you can think of. So there is certainly a lot more discussion about other ways of moving the oil and it’s also become abundantly clear that XL pipeline doesn’t solve the problem anyway that there is going to have to be other pipelines or rail sets that moving oil. So that’s where it is right now. I think people thought it might have been done by now than it has. So I think what’s slipped is the when we think is going to get approved. I think there was certainly some consensus that it would get done earlier in the administration rather than later but that hasn’t happened.
Brett Levy – Jefferies & Co.: You always wondered this in periods of sort of slow demand, do you have any sense of there is any disintermediation where people are sort of going no direct and around the service centers in the current environment sort of anything to that effect?
Brian R. Hedges: No, I mean, if you look at – if you look coming into the year, the mills are down 7% year-over-year in the tons. Service centers in this stage are off 7%, so they’re identical numbers. Canada, last year grew at double the rate of the States and right now we’re dropping at double the rate of the States. That just shows you how important Alberta is to our economy. And that’s the reflection I think it was going on in Alberta, as well as the manufacturing base. But as far as that happening, no, I think there’s a disconnect out there, and if you look at all the economic numbers that are out there in the various press releases you read, there shouldn’t be this overall 7% decline in the manufacturing and the people who use steel, whether it’s new construction or infrastructure build or anything. But there’s something happening out there that we’re all seeing that just doesn’t seem to be in any of that – it wasn’t on the horizon coming into this year.
Brett Levy – Jefferies & Co.: And in the context, can you sort of update us on your CapEx total number for the year. It’s been revised up or down, sort of what are the major projects that you are sort of keeping on the drawing board and not keeping on the drawing board?
Brian R. Hedges: I don’t think there is anything we are not keeping on the drawing board. We thought this year would be probably close to depreciation. So it will be something between $20 million and $25 million. I think that all of those, the things we’re doing for that probably will continue. There has been several cut the lank line that we put in instructor levelers, those are all just going in – probably up – one just came online last week and there’s a couple more going in, those will go ahead. There is no major building projects or anything like that in the works and we haven’t changed any of those.
Brett Levy – Jefferies & Co.: Thanks very much.
Operator: Thank you. The next question is from Sara O'Brien with RBC Capital Markets. Please go ahead.
Sara O’Brien – RBC Capital Markets: Hi, guys. Brian, I think in your outlook it looks like Q2 is going to be quite similar to Q1 in terms of volume and pricing, I just wonder what can you do on the SG&A level to improve profitability or have you already kind of done that cost-cutting effort in the past years and then where it is?
Brian R. Hedges: Yeah. we always have a pretty strong variable component. so that that’s coming in, the EBIT in the first quarter, corporate was down $2 million from the prior first quarter. The overall number will probably be relatively flat, what you’ll see is a slight recovery in the service centers, I think in the second quarter. We won’t have to go back strike, and we’ll probably have a little bit better year-over-year numbers than we did in the first quarter. So we’re expecting a little bit of an improvement in the margins actually in the service centers. I think we probably got a little – we got a caught off guard by the volume drop in Canada being double digits. So the people came out late in the quarter that we had to take out of our variable cost. So that will prove coming into this quarter, if the volumes stay where they are. So we think there is a slight improvement in service centers, the one that will – harsh to get affected by the seasonality is the energy and that obviously is a slowdown in the second quarter is going to be down and although, Apex has been a – it was a great acquisition for us and has given us less volatility, even their number will come off a little bit in the second quarter, but the first quarter numbers were fabulous. But that one slows down too with the drilling. So we think the energy is probably going to come off a little bit, but then – and also the massive distributors will pick up slightly. they had a very quiet first quarter. And I think that will pick up a little bit as the service centers do. So the net probably will be very flat, but there will be all different vectors in all three pieces.
Sara O’Brien – RBC Capital Markets: Okay. and then maybe just if we are looking at flat and as things still improve, I mean how comfortable are you with the dividend payout ratio that gets up in the 90% range?
Marion E. Britton: I’m completely comfortable with it. I mean, we said it over the cycle, we’ve got a $100 million of cash on the balance sheet. Then we generate cash equivalent to our earnings and in the down cycle we throw off cash, because working capital comes down. So there is no stress on the company paying over what we’re doing now.
Sara O’Brien – RBC Capital Markets: Okay. And then maybe just a last question on the – getting back to the volume, was the drop primarily in Canada primarily related to the energy patch in ancillary offering or was it really across the board including manufacturing across Canada?
Brian R. Hedges: It’s across the board. I just think the energy component is a bigger piece of Canada right now and got impacted by the excel pipeline discussions. So we are into the States was down or wasn’t down as much, because the fracing in the new place in there, I would say, they kept going. They are putting it, they are using real sets and whatever pipelines they have down there. The problem we have is actually a very Canadian one and a very much an Alberta one right now. And that did impact us, but we are down everywhere, Ontario is down, Quebec is down, the manufacturing basis. My guess is half of that number in Canada is attributable to energy and the other half is similar to states of just a manufacturing.
Sara O’Brien – RBC Capital Markets: Okay.
Brian R. Hedges: The data is pretty well doubled the states.
Sara O’Brien – RBC Capital Markets: Okay. Thank you.
Operator: Thank you. The next question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien – Raymond James: Good morning. You mentioned crew by real earlier the, obviously an alternative to the pipeline, does that an opportunity for you guys or is your – would you actually benefit more from growth in the pipeline, I was just wondering, there is any upside from that particular trend?
Brian R. Hedges: I guess, the answer is yes to both. It is better for us to pipeline – that’s a much better piece of business for us. There is some upside in the rail set. Obviously, we have –you’ve got to make more cars, so that’s steel going into railcars, plus we actually have Thunder Bay Terminals, which could become a shipping point and to move from rail to boat. But those are pretty – there’s a positive there, but it doesn’t even come close to offsetting what we lose XL doesn’t get approved.
Frederic Bastien – Raymond James: I got it. On the Apex, I was wondering, I mean, when you bought Apex in the fall, their U.S. business was growing rapidly. Could you give us an update on how that particular side of the business is going?
Brian R. Hedges: I mean, it’s going fine and both those businesses are going fine. They were basically flat year-over-year down slightly, but their margins were good. So as we expected, they are not as cyclical as our drilling operations and they performed very well. The U.S. operation, I can’t get the number in my head right now, but it was – it’s doing similar numbers till last year and so that’s not been an issue. We’re looking at a lot of tuck unders down in the United States in that area as well. So beyond that, there’s lots of storage area we have identified for growth in (inaudible) down in the United States, in that area as well. So it’s really the area we have identified for growth in future.
Frederic Bastien – Raymond James: Okay. And on that point, you mentioned tuck-ins and I know that when you acquired Apex, there were – I know Apex held minority interest in a couple of businesses. How an – would be eventually rolled into your business and how that’s going?
Brian R. Hedges: We’re in discussions and I still think it will happen in this quarter.
Frederic Bastien – Raymond James: Okay. Thanks. I will turn it over.
Operator: Thank you. (Operator Instructions) The next question is from Justin Wu with GMP Securities. Please go ahead.
Justin Wu – GMP Securities: Good morning. Just, my first question is on the operating expenses. You’ve given us pretty good color on the segmented operating expenses. I was wondering about the other operating expenses below that line, it was about almost $40 million this quarter. Was there anything in there that we should be aware about and is that the kind of run rate we should expect going forward?
Marion E. Britton: I’m not following where you’re coming off of, on the actual income statement or in a segmented chart were you?
Justin Wu – GMP Securities: I’m talking about the operating expenses outside of the segment. So maybe it’s corporate related or…
Brian R. Hedges: Corporate numbers are down by about $2 million.
Marion E. Britton: Corporate is about $4.3 million and the Thunder Bay is $1.5 million.
Justin Wu – GMP Securities: Okay. In your income statement, you have a $39.9 million operating…
Marion E. Britton: Our other operating stuff; that’s in the segments. This is disclosure that now we have to give on the main statement under IFRS. But all of those items, the employee expenses and other operating expenses, but that does include corporate at Thunder Bay get into the segment. They are part of the segment numbers should you have to split them based on employee and other. The other operating expenses would relate to rental on the Apex buildings. Any other cost of running those operations could be right out to customers – could be property taxes, any of that other stuff that goes along with the operations that’s not employee related.
Brian R. Hedges: Apex has a very high store count. So they have a lot of that kind of expense. So it’s a good – higher proportion of their expenses will end up in there than our other operations?
Marion E. Britton: But there is a segment numbers.
Brian R. Hedges: Was that in there?
Marion E. Britton: Yeah, it’s just that this is recorded disclosure under IFRS when it’s putting them out.
Justin Wu – GMP Securities: Okay, great. And then just a follow-up on the Apex Remington, I guess you had talked about at one point integrating that business with some of your other energy operations in the U.S. to improve the possibility and the returns. I was wondering if you can give us an update on where you are on that, if that thinking has changed or otherwise?
John G. Reid: We are still reviewing in that area. There is no firm decisions we made in any of those areas yet.
Justin Wu – GMP Securities: Okay. And is Apex Remington profitable currently or?
Marion E. Britton: Yes.
Justin Wu – GMP Securities: Okay. And have you seen improvements over the last quarter?
Marion E. Britton: Yes.
Justin Wu – GMP Securities: Okay. And in terms of the outlook online pipe, it’s been a pretty active part of your business recently, but I was wondering if you can talk about all our bidding activity and general outlook over the next few quarters?
Marion E. Britton: The midstream large diameter business is actually – there is two or three bids we’ve just been very successful at. So it’s picking up again. The problem area still really is [OCT3], but the line pipe area is picking up and we are getting some of the large diameter of projects again. So that seems to be coming back and this is behind the stats we are talking about. But in Canada, the – obviously the oil sands projects a little more impacted, they do some line pipe, but that’s not picking up at this point obviously.
Justin Wu – GMP Securities: And would you anticipate if you were to guess the year-over-year increase in the line pipe business for you guys this year or fairly flat?
Marion E. Britton: We had a pretty good review last year, it’s probably going to be flat to slightly down.
Justin Wu – GMP Securities: Okay. Thank you.
Operator: Thank you. The next question is from David Galison with CIBC World Markets. Please go ahead.
David Galison – CIBC World Markets: Hi, good morning, everyone. Just the first question, we heard a bit of a commentary regarding improvements in non-res construction albeit from a low base, just wondering if you’re seeing any improvements in the U.S. maybe in Canada as well?
Brian R. Hedges: We see the numbers too, we don’t really sell to that segment, but we’re not seeing the next step, which is the non-res construction and the related construction. So there’s no evidence yet that there’s any multiplier effect coming out of the extra houses that are being built, and that’s what we need to have happened for our business to pick up.
David Galison – CIBC World Markets: So (inaudible) the non-res construction?
Brian R. Hedges: Yeah. That’s not happening.
David Galison – CIBC World Markets: Okay. To then, just wondering, how much when you mentioned that there’s going to be some seasonality in Apex in Q2, but not much as in normal energy segment, can you, I guess, give any color on the magnitude?
Brian R. Hedges: This is in first off season we know that I can’t, I don’t have that, I can’t tell you that now. I will know it better in at the end of the period. That maybe comes off, but we don’t know how much and we’ll leave at that for now.
David Galison – CIBC World Markets: And just with the large diameter line pipe projects, can you just talk about how we should think about those projects over the next few quarters?
Brian R. Hedges: They’re probably, I think, in flat is what Brian has said, flat or down a little bit from last year. So we’re hoping to get projects that replace the activity we had there last year. And last year was up significantly from 2011.
David Galison – CIBC World Markets: Just one kind final house-keeping question, how much of an impact was that strike in the quarter?
Marion E. Britton: We estimated somewhere $0.02, $0.03, it ended around February 7. But fleet activity didn’t start right away, you have to get back with your customers, get your flat operating inventory on the flow that wasn’t there, a good guess would be $0.03 for the quarter. The activity has to grow during the year back into that location because certain things that we weren’t able to be involved in has gone to competitors obviously. So this year will be a revamp of that operation back to where they were.
David Galison – CIBC World Markets: Okay. Thank you very much
Operator: Thank you. The next question is from Karina Petri with American Metal Market. Please go ahead.
Karina Petri – American Metal Market: Yes, good morning. We understand that some of the [mills] have said that they will not discount from CRU, I wondered with your increase, have you seen that discipline play out?
Brian R. Hedges: Yes, we have seen (inaudible) discipline so far.
Karina Petri – American Metal Market: Thank you
Operator: Thank you. The next question is from Derek Ching with GMP Securities. Please go ahead.
Derek Ching – GMP Securities: 
 :
Brian R. Hedges: We haven’t seen a lot of service center business out there. The one that was just recently announced that Samuel’s bought was Wilkinson in the West Coast we were looking at that one prior to doing APEX and we basically walked away from that one. We haven’t seen anything since that one of any size or any interest for us in the service centers. And obviously, metals you’re saying got done in a nice – a very good rate. But we haven’t seen anything else. On the Apex side, on the field stores, we do have – we’ve seen five or six of them and we’re probably still talking with three of them.
Marion E. Britton: So we’ve always indicated that, if we saw, once we like that, we felt, we’re tucked under the Apex smaller, once we get done.
Brian R. Hedges: Yeah.
Marion E. Britton: That was more a larger acquisition in another area, probably would be tough to complete at this point. And we could talk on the remaining $5 million to $40 million of acquisition price.
Derek Ching – GMP Securities: Okay. And is there a timeframe for those tuck-unders?
Brian R. Hedges: We’ll do them as we complete them. So we have – there’s no rush in any of them. We think one will get done this quarter for sure.
Derek Ching – GMP Securities: Okay, got it. And then the second question has to deal with Apex and whether that has changed the way we should think about how working capital trends through the back half of the year?
Marion E. Britton: I don’t think there would be any change. They have fairly stable inventory numbers and AR numbers. I wouldn’t think, they’re going to impact our working capital, and based on where we are right now, unless there’s a pickup in activity, I anticipate working capital will not move around much. The driver will be when we do get some demand pick up. We will need to restart some inventory levels and obviously the demand pulls the AR a little higher again.
Derek Ching – GMP Securities: Okay, got it. And then just one final thing here. Are you guys expecting any impacts from the strike at Lake Eire?
Brian R. Hedges: No. It’s really only about 2.6 million tons. It may have a small regional impact, but as far as looking across Canada and our U.S. markets, we don’t see any impact at all?
Derek Ching – GMP Securities: All right. Thanks, guys.
Operator: Thank you. The next question is from Bert Powell with BMO Capital Markets. Please go ahead.
Bert Powell – BMO Capital Markets: Thanks. Brian, I was just wondering you talked about your performance nearing the regional economies of Canada and some of the regional areas in United States. Can you just give us a little bit more granularity? What areas are working if any? And which are outside of the ones you’ve highlighted on energy side are kind of relatively better or worse?
Brian R. Hedges: It’s better, but it’s better in not a real great fiscal. Certainly Manitoba, Saskatchewan has been a little stronger. But if you look at the rest of the B.C., Alberta, Ontario, Quebec, and even the Maritimes, they’ve all been hit pretty good. Our operation in the Midwest (inaudible) has had pretty good numbers. And probably that’s the only one that really won against the grain in the service centers.
Bert Powell – BMO Capital Markets: Okay. And just in the energy business, has there been – can you just maybe talk a little about any impact on that business, competitive product coming in offshore?
Brian R. Hedges: Well, there’s always an impact. There hasn’t been a lot of product coming in because the first quarter imports pipe were pretty well in line with where they had been. The longer term question is the new capacity that’s been announced in the States, if that’s going to displace imports, because that a lot of them are being built by importers, tenures and people like that. But that’s longer – it hasn’t happened yet. None of it’s there. But I don’t think the imports per se are the problem. The problem right now is, there’s a lot of inventory out there and the rig counts are down.
Bert Powell – BMO Capital Markets: Okay. Thank you.
Brian R. Hedges: As domestic inventory as well…
Operator: Thank you. (Operator Instructions) There are no further questions registered on the telephone lines at this time. I would now like to turn the meeting back over to Ms. Britton.
Marion E. Britton: Thank you everyone for attending the call and we’ll talk to you next quarter.